Operator: Good morning, my name is Nova and I’ll be your conference operator today. At this time I would like to welcome everyone to the Park Electrochemical Corp Fourth Quarter Fiscal Year 2016 Earnings Release Conference Call. [Operator Instructions] At this time I would like to turn the call over to Mr. Brian Shore, Chairman and Chief Executive Officer. Mr. Shore, you may begin your conference.
Brian Shore: Thank you, operator. This is Brian. Welcome, everybody, to our fourth-quarter conference call. I have with me, as usual, Matt Farabaugh. He’s our CFO. He has a new title, Senior Vice President. So if you haven’t congratulated Matt yet, you’re way overdue because I think that was a couple months ago Matt was promoted. But other than the change in Matt’s title, the call will be as usual. We’ll start with some introductory remarks. Matt will cover the financial analysis. I’ll add a few other remarks in terms of just general commentary, then we’ll go into Q&A. All right, go ahead, Matt.
Matt Farabaugh: All right, thanks, Brian.
Brian Shore: Oh, sorry. Right, one more thing I forgot to mention that – sorry to interrupt, Matt. Matt’s comments, there’s a transcript of Matt’s comments which have already been posted on our website. There’s some detail in here so you want to check the website, you can go do that. Thank you. Go ahead, Matt.
Matt Farabaugh: All right. Certain statements we may make during the course of this discussion which do not relate to historical financial information may be deemed to constitute forward-looking statements. Any forward-looking statements are subject to various factors that could cause actual results to differ materially from our expectations. We have set forth in our most recent annual report on Form 10-K for the fiscal year ended March 1, 2015, various factors that could affect the future results. Those factors are found in Item 1A and after Item 7 of that Form 10-K. Any forward-looking statements we may make are subject to those factors. I’d like to briefly review some of the items in our fourth-quarter and FY16 P&L which are not specifically addressed in the earnings release. During the FY16 fourth quarter, North American sales were 49% of the total sales, European sales were 7% of total sales, and Asian sales were 44% of total sales. Compared to 48%, 5%, and 47% respectively for the 2015 fiscal year fourth quarter. And 53%, 7%, and 40% respectively for the 2016 fiscal year third quarter. Sales of Park’s high-performance non-FR-4 electronics materials were 94% of total electronics material sales in the 2016 fiscal year fourth quarter, 91% in 2015 fiscal year fourth quarter, and 94% in the 2016 fiscal year third quarter. Park’s electronic sales were $26.9 million or 75% of total sales in the 2016 fiscal year fourth quarter, compared to $27.5 million or 76% of total sales in the 2015 fiscal year fourth quarter. And $25.5 million or 74% of total sales in the 2016 fiscal year third quarter. Park’s aerospace sales were $8.8 million or 25% of total sales in the 2016 fiscal year fourth quarter, compared to $8.8 million or 24% of total sales in the 2015 fiscal year fourth quarter. And $8.9 million or 26% of total sales in the 2016 fiscal year third quarter. Park’s electronic sales were $106.7 million or 73% of total sales in the 2016 fiscal year, compared to $126.5 million or 78% of total sales in the 2015 fiscal year. Park’s aerospace sales were $39.2 million or 27% of total sales in the 2016 fiscal year, compared to $35.6 million or 22% of total sales for the 2015 fiscal year. Gross profit for the 2016 fiscal year fourth quarter was one – was $10.7 million or 30.0% of sales, compared to $11.3 million or 31.1% of sales for the 2015 fiscal year fourth quarter. And $10.3 million or 30.0% of sales for the 2016 fiscal year third quarter. Selling, general and administrative expenses before special items for the 2016 fiscal year fourth quarter were $5.1 million or 14.4% of sales, compared to $5.6 million or 15.4% of sales for the 2015 fiscal year fourth quarter. And $5.3 million or 15.3% of sales for the 2016 fiscal year third quarter. Investment income net of interest expense before special items for the 2016 fiscal year fourth quarter was 500 – was $55,000 or 0.2% of sales, compared to negative $132,000 or negative 0.4% of sales in the 2015 fiscal year fourth quarter, and negative $128,000 or negative 0.4% of sales in the 2016 fiscal year third quarter. Earnings before income taxes and special items for the 2016 fiscal year fourth quarter were $5.6 million or 15.8% of sales, compared to $5.6 million or 15.3% of sales for the 2015 fiscal year fourth quarter. And $4.9 million or 14.3% of sales for the 2016 fiscal year third quarter. Net earnings before special items for the 2016 fiscal year fourth quarter were $4.9 million or 13.6% of sales, compared to $5.0 million or 13.7% of sales for the 2015 fiscal year fourth quarter. And $4.2 million or 12.3% of sales for the 2016 fiscal year third quarter. Depreciation and amortization expense in the 2016 fiscal year fourth quarter was $845,000, compared to $906,000 in the 2015 fiscal year fourth quarter. And $847,000 in the 2016 fiscal year third quarter. Capital expenditures in the 2016 fiscal year fourth quarter were $78,000, compared to $50,000 in the 2015 fiscal year fourth quarter. And $92,000 in the 2016 fiscal year third quarter. The effective income tax rate before special items was 13.8% in the 2016 fiscal year fourth quarter, compared to 10.5% in the 2015 fiscal year fourth quarter. And 14.2% in the 2016 fiscal year third quarter. For the 2016 fiscal year fourth quarter, the top five customers were GE, Sanmina, Shennan Circuits, TTM and WUS, in alphabetical order. The top five customers totaled approximately 38% of total sales during the 2016 fiscal year fourth quarter. Our top ten customers totaled approximately 50% of total sales. And the top 20 customers totaled approximately 67% of total sales for the 2016 fiscal year fourth quarter. Since the share repurchase authorization announced by the Company on January 8, 2015, the Company has purchased an aggregate of 718,588 shares at an average purchase price of $20.53 per share, totaling 14,753,256, leaving 531,412 shares that may be purchased by the Company purtuant – pursuant to such authorization. And an additional 1 million shares that may be purchased by the Company pursuant to the share repurchase authorization announced by the Company on March 10, 2016.
Brian Shore: Okay. Thank you, Matt, for the introductory financial comments. Brian again. Let me give you a little perspective on the quarter, how it laid out month-to-month. So we’re talking fourth quarter, of course. December was a pretty bad month, actually. Very slow. We never know what to make of that because there’s the holiday weeks but it was quite a bit off. And fortunately, January and February came in stronger. They recovered and the quarter came in – ended up being let’s say okay top line. Not out of align with recent history, in any event. So, but at the beginning of January, we really didn’t know where we were going. And that’s, I guess, not unusual because, again, we’re coming out of the holiday period. Now the other big holiday in the fourth quarter is the Lunar New Year and that has a big impact. But nevertheless, we seemed to be able to plow through that pretty well. So you could say January and February were close but December was a very weak month, top line wise. And just follow-on to continue through the first quarter, we have nine weeks in the books for the first quarter. And for some reason, March just kind of fell back down again. We were pretty strong in January, a little bit better in February, and then March, the bottom kind of fell back down, fell out. And we were back to the December level. We’re talking weekly averages, of course, which we have five four-week – quarters. So we don’t want to distort things by just talking about full months. April came back. Not as much as we’d like but April did come back. Kind of to the average level of the fourth quarter. So May’s going to really be a horse race here to see how the quarter ends up. But so far, the quarter’s looking pretty dicey the first quarter. Again, March is weak. April kind of at the average of the fourth quarter. And then May, like I said, it’s going to be a horse race. We’ll probably go right to the convention on the first quarter. So I guess that’s it in terms of perspective month-to-month during the fourth quarter, first quarter. Let’s total about updates on some business items. Nothing too new. Most of these items we talked about in previous quarters, but I’ll just update you anyway. Let’s start with GE. They’re always worthy of discussion. Last time, last quarterly conference call I think we talked about the fact that there is an inventory issue that it turned out that GE had too much of our inventory. And that there was a serious need to burn down the inventory. That’s a term that’s used. The reason, I don’t want to go into it too much but there’s systems issues. There’s also a contractor that was in the middle of things that confused things. So the inventory got out of line. So we worked with GE for a couple of months to re-up on a burn down plan. So the – what the result of this is that six – the calendar year, calendar 2016 and 2017 are going to be pretty light years for us as we’re burning down the inventory. Just to put things in perspective, last year for GE, $12 million to $13 million top line. And we’re looking kind of around half that number, maybe a little bit more for both 2016 and 2017. Now, this is just based upon hard information. Information we know, programs we’re on. This is not based upon upside, this is not based upon other programs we’re working on at this point. These are programs we’re currently on. The other thing that hurt us with GE was the 747 program. I don’t know if you noticed, but recently Boeing reduced the quantities to six a year. Six Bo – six 747s per year. That to us is 24, just for engines for Bo – for 747. But that compounded things a little bit. That results in the off years we’re having – we expect to have with GE. Now, you can’t take those numbers to the bank. Those are bottom numbers. It could be better than that because there are always the opportunities, but I’m trying to give you baseline information. So let’s talk about – and then after that, after 2017, then when the inventory’s gone, everything start to move up quickly, these two things happen. One is the inventory’s normalized. And then some of the big programs start to really move up. The biggest of which, of course, is the A320neo, we’ve discussed that numerous times. That’s a very, very large program for Park and that’s the biggest driver we have with GE Aviation at this point. That’s GE’s program – that’s for LEAP engine, that’s a GE program. And that’s our program. We’re qualified, we’re in that program and I think we’re sole-source, I’m pretty sure about that. The other opportunities for us just to follow on with the programs for GE Aviation are the Comac 919. That’s the Chinese single-aisle airplane the Chinese are developing. That also uses a LEAP engine and that’s GE’s program. That’s Park’s program. There’s another program which is a Bombardier program using a Passport 20 engine. That’s a new engine developed by GE. That’s our program as well. That’ll go on something called Global 7000, 8000. That’s a program in development. And so those are upsides. So there are other programs that we’re working on even with the – our bread and butter work, which I think you know is in the cells and thrust reversers. But those three are the big drivers. Boeing 747, of course, is still out there and that’s a legacy program that we continue to work on. And we don’t know how long that’ll last. Hopefully forever. I mean, to me, just from a personal perspective, I think it’d be very sad if that program is cancelled. It’s such an iconic aircraft and all. So and then there are the other opportunities, let’s call it, at GE Aviation. These are non-cell thrust reverser opportunities. These are the internal parts of the engine. There is something in the Passport 20 that we’re qualified on, which is the fixed hand duct which is actually a primary structure. And then there’s other aspects of internal parts of the engine which right across the GE Aviation product line to different Boeing and Airbus programs. Mostly Boeing, I guess. Let’s see. So 10-year RFQ, I think we discussed that last time. We finally got a final RFQ. We had to go back and forth quite a few times because there were adjustments that needed to be made. Not our response, but the RFQ presentation itself, there were things that had to be adjusted. So we got that done and we plan to respond to the RFQ formally next week. That’s the 10-year going from 2017 through 2026. And there are hundreds of millions of dollars of revenue contemplated in that RFQ over that period based upon their hard fore – based upon the forecast we’ve received. I think you know this but we’ve agreed that we will build a redundant factory if and when we sign that agreement. My guess is it’s months off because there’s going to be some back and forth. I think mostly on, these terms and conditions have to be reviewed and this is a process. But we’ve already said informally to GE that once we sign that agreement, we’ll go ahead and build that factory. We decided at this point, at least preliminarily decided, that we’re going to build that factory in Kansas on our – at our current campus in Kansas. The preliminary budget for the factory is $12 plus million. And that’s something that we’ve shared in detail with GE, so we’re on the same page. It’s just a matter of signing an agreement and then we’ll go ahead and build that redundant factory for GE Aviation. Again, it’s $12 plus million and it’s actually a separate building but it’s on our campus in Kansas. It’s 250 feet south our existing building. We wanted to have separate buildings and GE and their customers wanted separate buildings as well for pure redundancy. So, for instance, one fire could not destroy everything and we’re talking about cataclysmic events, of course. So that’s, I guess, the GE update. Last time we spoke, last conference call, we also talked about – well, actually, one more item with GE that we entered into a joint development agreement to develop a major product which is exciting for Park, that opportunity. Because we’re tapping into the very best and brightest scientists at GE Research to help us do this product development. It’s not a niche product, I wouldn’t say. It’s a pretty major product. So if we’re successful, that’ll be very good for Park because it would be another major product that we could offer to the market. Okay, now moving ahead. There’s another opportunity that we mentioned during our last conference call and also I think we commented on at the Needham conference. We’re not disclosing the name of this company, but it’s a major aerospace company. And there’s a very large 12-year RFQ that has been responded to. I think this goes through, what, 2028? I don’t recall now, but it’s a 12-year RFQ. As part of our response, we proposed and agreed if they give us the business to a $50 million plus investment. That would be building a factory as well as the qualification costs. When we respond to that RFQ, we were asked to respond at different levels, different percentage levels from 100 on down. So at certain levels, the commitment and investment Park would make would be quite significant. That’s actually a low number, if we received a very large share of that business. So what’s going on? I think I mentioned this last time, is that we’re going through what’s called screening. Meaning that this company has our materials and we’re going through a screening process, meaning doing testing on our materials. So far, the screening results are going pretty well so far. We think the original screening would be complete within maybe another couple of months. I think that’s the case. There’s dry data, wet data. The wet data takes longer. At that point, then we’ll have the next step which would be, I assume, further discussions with them about what’s going to happen. A screening is not equal to a qualification, I just want you to know that. The once you go to qualification, both parties are all-in. Major commitment, many millions of dollars committed. So neither party’s going to go forward with a qualification effort, that could take three years, until they pretty much know what the result will be. So the qualification is to prove it, but the screening is to really make sure that the materials meet the requirements. That’s why there would be a screening before a qualification effort. The qualification effort, like I said, at that point, all-in and there really is no turning back because it, you know, three years and if the qualification doesn’t work, then everybody has a major problem on their hands, which would be avoided by the screening process. Moving on, still in aerospace. I mentioned last time, we’re back on the Atlas V program. So we’re starting to ramp that up with ablative materials. We’re really happy that we’re back on that program. We had an issue with a raw material that was discontinued and then we had to qualify a new raw material. But that’s been done, so we’re happy about that. Then in terms of the parts activity in aerospace, we’re ramping back up on the Scorpion. Remember the Scorpion we worked on the first unit which I think they called Demo Unit One. It was a little while ago but they’re ramping back up. That’s still an active program and it’s quite busy. We’re already made more total parts and tools than we did the first go around. And we feel that there’s a lot more to come. So we’re pleased about that. We mentioned the Flying Pentagon, we’re doing parts and struts for the Flying Pentagon. We’re also doing quite a bit of work for the private space companies. You know who the – they’re going to get a lot of publicity. You know who they are. But that’s an exciting thing for us, too. At least I think it’s exciting. I’m very – I like working with those kind of companies. And even what’s interesting is one of the big opportunities, one of these companies that we’re working with even has a big electronics opportunity that we’re working on as well. So there’s a real nice crossover there. But these kind of things kind of seem to fit, I believe, anyway, into our niche strategy. Special mission prototype, development work. We’re not going especially for – with parts for commodity volume builder print work because we’ll never be able to justify it in terms of the returns on investment and the margin. So we look for specialty things, things where other companies aren’t able or willing to do what we can do. And either it’s a special capability or maybe it just being able to move very quickly. When a company, when aerospace companies that do new development work, time is of the essence, always. Speed, speed, speed. Why is that? Because the faster they can get to the development work done, the more cost-effective it is for them. It’s not the cost of the parts, it’s the cost of all those 200 engineers that are sitting there waiting to get the program done that they have to pay for every day, whether the program is moving forward or not. Or maybe it’s more than 200, based upon the size of the program. Just moving around a little bit, back to electronics. I think last time we mentioned that we had entered into an important joint development agreement with a major electronics company. And that is just starting but it’s pretty exciting as well. This is a real nice opportunity for us with a household name, electronics company, a quite large company. And I think that kind of covers it. Like I said, most of the updates from my perspective were not real new things. More just kind of giving you updates on things we had already discussed. So, operator, I think that concludes our, Matt’s and Brian’s introductory comments. Can we go to the questions at this time, please?
Operator: Thank you. [Operator Instructions] Our first question is from Sean Hannan from Needham & Company.
Sean Hannan: So, Brian, first question. I’m not sure if I specifically heard the number that you had mentioned for what GE was this past fiscal year. Can you reference that again?
Brian Shore: $12 million to $13 million.
Sean Hannan: Okay. So if we did 12 to 13 with them this past year, and it sounds like, if I’m interpreting this correctly, through them any involvement in programs such as Comac, Bombardier, the thrust reversals, all else, there’s really not expected to be any upside to what we had done with GE. Instead, we’re looking for half that number, roughly sixish through calendar 2017? Is that correct?
Brian Shore: Yes. I would think sixish is probably, we’re trying to be pretty conservative here. But it’s definitely a smaller number and it – I think just in terms of rule of thumb probably good to think about half as kind of a bottom baseline. And I would suspect it would be a little better than that. But because of the inventory burn down and because of the 747, that’s going to affect us short term. Those other programs you mentioned, we’re really living off the 747 right now mostly. The other programs you mentioned, they haven’t really kicked in yet. We’re working on the A320neo. And that’s because GE’s producing engines in advance. But that airplane hasn’t really gone into production yet with the LEAP engine. Not in serious production. So that’s all in the future. So the problem we have here is we’re kind of, I don’t know how you say it. We’re kind of – we have, like, a gap period where we’re living off of some legacy programs. We have the inventory burn down. And the other – the upside part of the story hasn’t really kicked in yet. What will happen is as the inventory gets burned down, the upside starts to kick in. And then there will be some pretty quick acceleration. And just one of the things that you should be aware of is we are concerned and GE’s quite concerned as well about our ability to ramp up quite quickly when this thing starts to move upward quickly. And we know the numbers. We have a forecast, so it’s not like they’re going to blind side us. But it’s still pretty fast ramp-up. So they’re quite concerned about making sure we maintain a core group of people that can service their programs.
Sean Hannan: So for all practical purposes, the ability to get an appropriate growth inflection point, we’re really looking at your fiscal 2019 to see those types of numbers coming into the model from these other programs, et cetera?
Brian Shore: By fiscal 2019? Yes. I think maybe might see something start to move up in the second half of fiscal 2018. I was talking calendar years.
Sean Hannan: Sure.
Brian Shore: You could switch that to a fiscal year, of course.
Sean Hannan: Sure.
Brian Shore: So when I – the revenues, actually the same. The last year, calendar year and fiscal year were about $12 million, $13 million. But that half number that we’re talking about applies to calendar year 2016, 2017. But like you said, you can switch that to a fiscal year terminology. I think if you’re talking fiscal years, probably the – I think we might see this thing start to move up toward the end of the fiscal 2018 year, which is basically 2017 calendar year.
Sean Hannan: Okay. Now, what is your revenue capacity to support them today? So if you’ve done $12 million to $13 million, is that kind of a cap in terms of your existing facility…
Brian Shore: No.
Sean Hannan: – to support them? Is it something higher? Because then the next question I’d have is if we’re going to go and build another facility for redundancy, it sounds like we could create a pretty material gap in terms of idle floor space and equipment.
Brian Shore: So the thing is that this – right. So we have a lot of extra capacity currently with our equipment. But we have one line and that’s the issue. So we’re going to end up with two lines for redundancy. And we’ll have a lot of extra capacity. The cost burden is not very high. And the reason we’re able to do that is because we’re building a factory right next door. So we really have no people cost at all. The cost burden is going to be basically depreciation for the additional factory. But that is actually a pretty good financial story when we look at the numbers. Considering the extra revenue that we’re going to receive as a result. And remember, it – this is not – and I think we discussed this before. In order for us to be able to have this kind of business and be sole-source, not only with GE Aviation but ultimately Boeing and Airbus, it’s not – they’re not – it won’t happen if we have one line. It’s just too much risk for them.
Sean Hannan: Sure.
Brian Shore: So it’s not like: Oh, we’re doing this just because we want to. It’s really the way we look at it is part of getting the program. But the economics are quite good. Now, remember when we were originally considering doing this expansion elsewhere? And we decided to do it in Kansas. There were pluses and minuses but mostly for economic reasons, so we can keep those incremental costs quite low. As I said, the people costs are basically nothing. The additional costs would be the depreciation. But there’s also this other program we’re talking about, same equipment. And plus the development project we’re doing with GE relies on that equipment. So I don’t – I think it – this is one of those areas where you never know for sure. I’ll bet you a dollar right now that if you asked me five years from now how we feel about it, we’ll say it was a really, really good decision that we made. And it worked out very well for us. So we can take that dollar bet about any time.
Sean Hannan: Okay. So when you pull GE out of the equation and you think about the balance of other programs. You have mentioned the Scorpion program and other activity within the aerospace side of your business. Can you talk a little bit about to what degree we can offset some of that downdraft from GE? So in other words, we’re not necessarily going to be halved for your total aerospace for the year, obviously. But can you give us some sense of our ability to be able to get back to something that’s a little bit closer to what you did in fiscal 2017 in aggregate? Thanks.
Brian Shore: Yes. I think obviously that’s a good question and obviously it’s something we’re focused on, because that’s kind of the short-term equation. I think some of the things we were just talking about. The ablative program, some of the parts programs will help a lot. Those are programs that are pretty exciting. I’m not saying we’re going to be able to fill the whole gap but I think it’s a possibility we will. We’re talking, what, like a $6 million or so gap. I don’t know. I think there’s a possibility we’ll be able to take care of that. In the fourth quarter, there was pretty much already – the reductions already much – already pretty much in place. We’re starting to trail off. We were able to kind of hold the top line at fourth quarter. So it’s hard to say. It’s a challenge. But I think based upon the things we’re working on, there’s a possibility. You’re talking this fiscal year, so you’re talking…
Sean Hannan: Correct.
Brian Shore: Very quickly. The other things we’re talking about, those large programs, that joint development we’re in with GE, another large program. Neither of those have any impact on this fiscal year top-line revenue. That’s not for this fiscal year. So we’re going to struggle because we’re in between. We’re dealing with this 747 inventory problem, as I said. And it’s – and the other – the new programs, which are programs that GE has. Those are not speculative programs. The timing of those doesn’t really help us until maybe the tail end of that second year of the burn down. So there’s going to be a gap and we’re going to have to struggle to fill it. But I guess the – my – the best way I can answer that is that it will be our objective to fill it. And I think it’s possible for us to fill it.
Sean Hannan: Okay. Now, on – thank you for that, by the way. On the electronic side of the business, can you talk a little bit, as a follow-on to some of your earlier prepared comments, on what your feeling is the state of the current environment and how you feel that the health may be? And then as a follow-on to that, can you update us on the progress of new products? Now, I know that you folks have been very positive on those. The uptake within the market’s been a little bit disappointing, on the slower side. So wanted to get an update there as well as what you’re able to do to start driving that further with customers. Thanks.
Brian Shore: Yes. So the electronics is so volatile, the market, and moves so quickly. So if you asked the question at the end of February, I would’ve said: Yes, looks – feels pretty good. Because the January and February were pretty strong months. Got to – asked the question at the end of March, I’d say: Oh, boy, not so good. Because all the ups and downs really are electronics and aerospace doesn’t move like that. So we’re talking down stories in terms of the big numbers for Park and it would be electronic driven and market driven. Market share doesn’t move that quickly, either. I could say at the end of April, it’s a little bit better but we’re concerned about what we’re seeing out there. And it’s all embarrassing but we go through this all the time. Whatever I say now, two weeks from now, it might be a total different story. And I always have to remind people that we’ve been in the electronics industry almost more – longer than anybody since 1960. So we’ve seen it all but our ability to predict is still pretty poor. So with that caveat, I’d say right now we’re concerned. As far as new products are concerned, I think last time we mentioned that we had a big thing going with Huawei on Meteorwave. We’re real – pretty excited about that. And not clear – not – it’s going to ramp up. All they told us is that be prepared. Be ready. It’s going to be pretty steep ramp. That would be an Asian opportunity for a product made in Asia. So our two new products are for electronics. Mostly the Meteorwave family, Dash 20 family. And so there’s been a lot of work and I guess the problem, hard to quantify – with qualifying these products with new programs. And I guess not surprisingly, once you start to really push into volume you start to have issues you’ve got to work through. And we’re working through those, especially with Dash 20. But I think it would be very naive, really, if you look at history to expect to introduce new product, put into – and then ramping up the volume without having some kind of bugs you’ve got to work out. So I think that’s really a good thing that we’re dealing with that kind of stuff now. That means we’re, I think, really hitting prime-time. We have a relationship with one of the large board show – surfboard companies in the world that is very favorable to those new products. We don’t discuss it except I’m saying now, we never say who it is. But that’s significant. I guess I’ll leave it at that because we have to be – we want to be mindful about – saying too much. So that’s significant and it relates particularly to those two new products and moving them into as many new programs as possible. But I agree. If you asked me several years ago, I’d have said: All these products are going to move up quickly and get qualified quickly. And the revenue would ramp up quickly. But it has been really three years now, I think, approximately since those new products were introduced. And maybe I was just – well, with the benefit of hindsight, obviously, I was not being very realistic. There’s a lot of other competition. Which companies attempting to introduce similar products. These are all high speed lowest cutting edge products which kind of muddies the water a little bit. So it makes it more work for us to make sure that our products are properly communicated and it is distinct – and distinguished and the differences are well-known. We believe that there are distinguishable features. Particularly we’re at the very high end which make these products attractive and keep us out of the dog-eat-dog price sensitive part of the world for electronics. So I don’t know. That’s kind of general commentary. I don’t have anything specific for you. I think if you asked people at Park they would say: Yes, we’re optimistic but we’d like to see more the revenues ramp up. Now, they have ramped up. You know that, right? Otherwise the – because the legacy products, they’re not going to go in new programs very much. So what you see there when you look at the whole picture of electronics is part of the story is the new products that ramped up because there’s holes to be filled with the legacy products.
Sean Hannan: Sure. Understood. Thanks very much for all the color. I’m going to hop back into queue.
Brian Shore: Thank you.
Operator: Thank you. Our next question comes from the line of Morris Ajzenman of Griffin Securities. Your line is open.
Morris Ajzenman: As a follow up to that question, the earlier question on GE pulling back while reducing inventory. The $8.8 million in this quarter, based on the math you’ve kind of given us, there’d probably be a decline in – running between $1 million and $1.5 million per quarter, thereabouts. Was that fully reflective in this quarter you reported? Or was that partially reflective to step up more into the soon quarters?
Brian Shore: Partially reflected.
Morris Ajzenman: Okay. Thank you. Looking at, again, the previous question on your output. You’re running let’s call it about a $35 million per annual run rate composite, give or take. What sort of – what keeps that number? And what that equates to capacity utilization?
Brian Shore: It’s very small. We don’t disclose our capacity but we have a very significant upside potential for capacity. So let’s say we’re maybe not even 50%. Now, that’s a dangerous thing to say, though, because it depends what product, of course. It’s – the capacity’s not one capacity. We have capacity for parts, we have capacity for hot melt. We have capacity for solution. We have capacity for ablatives. So but as a general matter, I would say we’re not even running half.
Morris Ajzenman: Okay. And a quick question for Matt here. SG&A as percent of sales 14.4% this quarter. Improved from third quarter and from last year for third quarter you had top line increase. But based on a revenue run rate, again, it’s going to be [indiscernible]. But you were $35.8 million, 14.4% SG&A. Is that what it should be normally? Is there anything unusual there or is that the normal run rate at that level of revenues?
Matt Farabaugh: It’s probably not entirely sustainable but it’ll be something roughly in that range. Maybe a little bit up from there.
Morris Ajzenman: Okay. All right, guys, that’s it for me.
Brian Shore: Thank you, Morris.
Operator: Thank you [Operator Instructions] And next we have a follow-up from the line of Sean Hannan of Needham & Company. Your line is open.
Sean Hannan: Okay, thanks for taking my follow-up here. Just – these are a little bit more administrative, I suppose and probably more targeted for Matt. Can you talk a little bit about your gross margin? So it looks like you folks have hit 30% right on the nose for three of four quarters in fiscal 2016. So given what you could per – what you would prepare for as a potential revenue path this year, do you feel that you have the ability to hold margins in that low 30% range? Or can you provide any perspective around this? Thanks.
Brian Shore: Well, I’ll comment. Matt can as well. Sean, gross margins are so top line driven on a short term basis. Obviously, long term, they’re affected by product mix and things like that and new development. But – product development. But short term gross margins are so driven by electronics revenues going up or down. So I think the answer is going to be, based upon the revenue, as you see, you’re an intelligent guy. Of course you figured it out. Look at the revenue number, look at the gross margin number. So we hold those revenues or move up. I think the answer is going to be yes. But if we slip below those– those revenues, the answer’s going to be we’re going to struggle to maintain that number. And obviously we’d like to push it up. And the way that we’ll – the most important contributor to pushing it up will be top line. Matt, you want to add anything?
Matt Farabaugh: Yes. It’s dependent on our mix at any given point in time. But mainly it is going to be those volumes. Those top line volumes.
Sean Hannan: Sure. And I appreciate all of that. I suppose the angle I was coming from is more in terms of preservation and protection. And I get that you’re going to have a revenue influence on the ability to do that. I didn’t know if there was any incremental perspective you might have based on how you feel about the business at this point. If I’m interpreting correctly, it sounds like at current point in time, you’d probably feel comfortable with that type of a margin. But caveat: Hey, look, if we have a significant dip, then the bets are off. Is that at least a fair way to start thinking about things in the absence of more granularity?
Brian Shore: I think so. It’s not a target. It’s interesting that it has been hovering around that number. But it’s not a target. I think if the revenues are off, it’s going to – especially short term. It’s going to be difficult for us to maintain a 30% gross margin. If the revenues are up, that would be a plus. There’s a lot of leverage in the revenues, especially short term. These – there are a lot of fixed costs that don’t change that much. So it may – the revenues short term make a big impact on gross margins.
Sean Hannan: Okay. What about maintaining your SG&A? And the reason I’m really getting at all, so obviously we’re at pretty thin revenue levels here. And so it’s really going to exacerbate the sensitivity within the model. So I just want to get comfortable with where the cost points can have an impact. Thanks.
Brian Shore: So the SG&A’s probably a little bit more fixed. I mean, there are certain aspects, the S part of it varies a little bit with commissions and things like that. But – which are fairly limited for Park. The SG&A is easier for us to work on in terms of cost control. Gross margins to some extent are what the cost of goods sold are to some extent what they are. Watch it very carefully. But SG&A’s probably where you focus more in terms of trying to control our costs. So I’m not sure that – it’s certainly not a quantitative answer. But it’s something that we have more control over. There’s certain discretionary items, as you know, in SG&A. Bonuses, profit sharing that we’d have absolute control over. And we take that – those things seriously. And we take them seriously, I mean, really every day but certainly every quarter, we take those things seriously. And people at Park know it and they live with it. If they don’t like it, they don’t work at Park.
Sean Hannan: Okay. Thanks very much for your color.
Brian Shore: Yes.
Operator: And I’m showing no further questions in the queue. At this time, I’d like to turn the call back to you, Mr. Shore, for closing remarks.
A - Brian Shore: Okay, thank you, operator. And thank you everybody for listening in. We’ll be talking a little bit sooner than our normal – interval because that’s probably the end of June for our first quarter call. Matt and I are here today in the office. Please give us a call if you have any follow up questions. And other than that, have a very good day and thanks again for listening. Goodbye.
Operator: Ladies and gentlemen, thank you for participating in the Park Electrochemical Corp. Fourth-quarter FY16 earnings release conference call. This now concludes the program and you may all disconnect. Everyone, have a wonderful day.